Operator: Good morning and welcome to OppFi's First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. [Operator Instructions]
 It is now my pleasure to introduce your host, Shaun Smolarz, Head of Investor Relations. You may begin. 
Shaun Smolarz: Thank you, operator. Good morning. On today's call are Todd Schwartz, Chief Executive Officer and Executive Chairman; and Pam Johnson, Chief Financial Officer. Our first quarter 2024 earnings press release and supplemental presentation can be found at investors.oppfi.com.
 During this call, OppFi will discuss certain forward-looking information. These forward-looking statements are based on assumptions and assessments made by OppFi's management in light of their experience and assessment of historical trends, current conditions, expected future developments and other factors they believe to be appropriate.
 Any forward-looking statements made during this call are made as of today, and OppFi undertakes no duty to update or revise any such statement, whether as a result of new information, future events or otherwise. Important factors that could cause actual results, developments and business decisions to differ materially from forward-looking statements are described in the company's filings with the United States Securities and Exchange Commission, including the sections entitled Risk Factors.
 In today's remarks by management, the company will discuss certain non-GAAP financial metrics. A reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in the earnings press release issued earlier this morning.
 This call is being webcast live and will be available for replay on our website.
 I would now like to turn the call over to Todd. 
Todd Schwartz: Thanks, Shaun, and good morning, everyone. We are very pleased to report our first quarter 2024 results, which exceeded our earnings guidance and enabled us to raise our full year earnings outlook. When we introduced our full year guidance in March, we had limited visibility into 2024 based on the seasonality of the business. However, our profitability accelerated to end the quarter with a strong tax refund season, and we continue to see favorable credit trends in our portfolio.
 Pam will review our first quarter results in detail and revised guidance for full year 2024. Before she does, I will cover 4 primary topics: one, highlights from our first quarter of 2024; two, progress on our operational initiatives; three, commentary on our macroeconomic outlook; and four, discussion of our capital allocation strategy.
 First quarter results were driven by revenue growth and continued credit performance improvements and expense leverage. Our key highlights for the quarter compared to the prior year period are: solid 5.8% total revenue growth to $127.3 million, a strong 3.5 percentage point increase in revenue yield to 129.5%, a meaningful 33.5% increase in recoveries, and a 1.1 percentage point improvement in the net charge-off rate as a percentage of total revenue to 47.9%.
 In addition, we continue to carefully manage expenses to realize greater operational efficiency. On a GAAP basis, total expenses as a percentage of total revenue increased 110 basis points year-over-year to 45.5%. However, when excluding onetime expenses and other add-backs, such as severance costs and exiting the credit card business, this percentage decreased by 270 basis points year-over-year to 40.6%. This led to profitability increasing by more than 100% year-over-year; net income of $10.1 million, an increase of $6.2 million from $3.9 million; and adjusted net income of $8.8 million, an increase of $4.9 million from $3.9 million.
 Additionally, we ended the quarter with a strong balance sheet that we believe positions us to achieve our strategic objectives. Total cash, cash equivalents and restricted cash was $88.7 million, up 20% from year-end. Of this, unrestricted cash was $47.2 million, which increased 48.4% in the first quarter sequentially.
 Given our confidence in maintaining a strong balance sheet and generating free cash flow, we were proud to announce the company's first-ever special dividend in the amount of $0.12 per share to demonstrate our commitment to rewarding our stockholders.
 Now I'll discuss our progress during the first quarter with our core operational functions. During the first quarter, we experienced strong customer payment activity driven by: one, the underwriting testing and implementation done last year; two, tax refund season; and three, recoveries. All of these factors contributed to our improved credit performance year-over-year. We identified higher-risk applicants to deny and stronger ones to approve that would have been denied otherwise. This trend has continued through April, the early part of Q2.
 Early-stage delinquency trends improved compared to the same period last year with the total first payment default rate lower by 40 basis points and the total delinquency rate decreasing by 70 basis points. In addition, recoveries of previously charged-off loan balances increased 33.5% year-over-year.
 We and our bank partners are excited to launch a new credit model in the second quarter. The model incorporates additional customer cash flow and behavior inputs that are designed to more accurately evaluate the risk of the applicants. As a result, we expect future originations to carry less risk, and therefore, our credit performance to improve over the long term.
 Turning to marketing. The total cost per funded loan was down 12% compared to the same period in 2023. During the first quarter, the addressable market expanded further as bank partners entered new states.
 In terms of customer experience, we recently launched an enhanced chatbot feature powered by artificial intelligence capabilities that we've named OppAI. We believe this will improve the customer experience and increase operational efficiency. We also celebrated National Financial Capability Month by announcing our collaboration with Zogo to provide customers with a gamified financial literacy app to help them further improve their financial health. OppFi is a mission-driven company, and we are excited by the new social impact relationship. Our Net Promoter Score for the quarter remained strong at 77.
 Now I'll briefly discuss how we're thinking about the current macroeconomic environment. Based on recent macroeconomic data points and consumer finance surveys, we believe our previously discussed view has been validated. We believe core inflation remains sticky and interest rates are unlikely to be reduced until the fourth quarter or early 2025.
 According to research by United Way, 29% of American households have members who are employed but income-constrained and asset-light. In other words, these are households whose members work and earn more than the poverty line but struggle to pay for basic needs. Sticky inflation disproportionately affects these consumers, and the share of these households has steadily grown.
 In addition, recent VantageScore data indicate lower-income U.S. consumers are struggling to make loan payments, which is causing banks to tighten their credit standards. While we believe this upmarket tightening may present selective growth opportunities for us as more applicants may fall into the credit box for OppLoans, we will remain cautious on originations given overall macroeconomic uncertainty. We won't chase growth merely for growth's sake.
 With that said, I want to emphasize we are deeply committed to profitable growth and believe we have numerous levers to continue to create shareholder value. In this current environment, improvements in credit performance and operational efficiency have enabled us to grow earnings, generate significant free cash flow and strengthen our balance sheet. This influenced the decision of our Board of Directors to declare the $0.12 per share special dividend and approve a new $20 million share repurchase program.
 We plan to use cash to repurchase stock when we believe our stock price is disconnected from its intrinsic value and unreflective of the long-term earnings potential of OppFi. In addition, we remain committed to pursuing opportunities for potentially accretive partnerships or acquisitions that fit with our company mission to facilitate credit access to underbanked Americans.
 We believe all these factors help demonstrate OppFi's unique value proposition for investors. OppFi presents the opportunity to invest in closely held, founder-led family business in the public markets that is committed to both returning value to stockholders and creating new value.
 Part of the reason for my return as CEO 2 years ago was to execute my multiyear strategic vision for OFI. Now that the core business has stabilized and our balance sheet is solid, we are working to fill some of the significant supply-demand imbalances that exist in the financial marketplace across customer types that traditional banks do not service. We believe through accretive partnerships and acquisitions, OppFi has the potential to be transformed into a platform to offer additional types of alternative digital financial products and services. 
Pamela Johnson: Thanks, Todd, and good morning, everyone. For the first quarter, total revenue increased 5.8% year-over-year to $127.3 million with a 2.4% increase in total net originations to $163.5 million and a 350 basis point improvement in yield to 129.5%. Total retained net originations decreased 2% to $152.5 million from $155.6 million in the year ago period based on one of our bank partners retaining a higher percentage of loans originated in some states.
 Total net originations are defined as gross origination net of transferred balance on refinanced loans, while total retained net originations are defined as a portion of total net originations with respect to which OppFi ultimately purchased a receivable from bank partners or originated directly.
 As previously disclosed, in late 2023, OppFi transitioned fully to the bank partnership model and therefore currently does not originate any loans directly. From a mix perspective, 57.7% of originations were to existing customers and 42.3% were to new customers. During the quarter, along with our bank partners, we continued our prudent approach to risk as we believe loans to existing customers are generally less risky than those to new ones.
 On an absolute basis, new customer originations for the quarter decreased by 1.7% year-over-year, while existing customer originations increased by 5.7%. The annualized net charge-off rate as a percentage of average receivables increased by 20 basis points to 62.0% for the first quarter compared to 61.8% for the prior year quarter. However, the annualized net charge-off rate as a percentage of total revenue decreased by 110 basis points to 47.9% compared to 49% last year. Interest expense totaled $11.4 million or 9% of total revenue compared to $11.4 million or 9.4% of total revenue in the same period a year ago.
 Turning to expenses. Total expenses were $57.9 million or 45.5% of total revenue compared to $53.5 million or 44.4% of total revenue in the first quarter last year. Included in the total expense figure were $6.2 million and $1.4 million of onetime expenses and other add-backs in the 2024 and 2023 periods, respectively.
 The year-over-year increase was primarily due to the exit costs related to the credit card business as well as severance and legal costs. Excluding these items, total expenses were $51.7 million or 40.6% of total revenue in the first quarter this year, down from $52.1 million or 43.3% of total revenue for the same period last year.
 Adjusted net income was $8.8 million compared to $3.9 million for the comparable period last year. Adjusted earnings per share was $0.10 per share compared to $0.05 in the first quarter last year. This was significantly higher than our guidance for $0.05 due to a strong tax refund season, which resulted in better-than-expected credit performance, including recoveries.
 For the 3 months ended March 31, 2024, OppFi had 86.2 million weighted average diluted shares outstanding for the calculation of adjusted earnings per share. Our balance sheet remains healthy with cash, cash equivalents and restricted cash of $88.7 million, total debt of $301 million and equity of $197.3 million as of the end of the first quarter.
 Unrestricted cash of $47.2 million at the end of the first quarter marked a 48.4% increase since year-end 2023 and provides us confidence in our optionality for capital allocation strategic decisions. In addition, we had $613.7 million in total receivable funding capacity, including undrawn debt of $224.7 million.
 Turning now to our outlook. For full year 2024, we reiterate guidance for total revenue of $510 million to $530 million. We continue to focus on profitable growth. To provide additional perspective on how we are thinking about the second quarter, we expect total revenue to be relatively flat year-over-year.
 Shifting back to full year guidance. Based on the stronger-than-expected first quarter, we have increased guidance for profitability. We now expect adjusted net income of $50 million to $54 million compared to the prior range of $46 million to $49 million. Based on an anticipated diluted weighted average share count of 86.5 million, we now anticipate adjusted earnings per share between $0.58 and $0.62 compared to the prior range of $0.53 to $0.57.
 With that, I would now like to turn the call over to the operator for Q&A. Operator? 
Operator: [Operator Instructions] And we will take our first question from David Scharf with Citizens JMP. 
David Scharf: To start off with, Todd, you made some references to not only the transition to the bank partnership model, but some specific actions in terms of your partners expanding into maybe one or more states, retaining some more loans in a certain state. Maybe it's a good time. Can you take a step back and can you just kind of bring us current on how many states you're operating in through your partners, how many partners there are? And broadly speaking, whether there are any notable changes to the terms of your partnership arrangements? 
Todd Schwartz: Yes. David, we currently maintain 3 bank partners. And the banks are the originators in the different states. So it really is up to them on the structure on the other side. Some of the states, due to some state laws that have passed in this cycle of legislation, the percentage ownership once the loan is sold to the SPE varies. But we're in 40 states, and I think we have a strong national footprint to serve our customers. 
David Scharf: Got it. And somewhat related, I know the geographic mix may have partially contributed to the elevated revenue yield. In terms of thinking about the yield going forward, just trying to get a sense for whether we should think of the Q1 performance as sustainable, whether it's impacted by geographic mix, pricing leverage, just competitive backdrop or if it was just more a reflection of some of the delinquency trends. But as we think about the balance of the year and pricing leverage, is 130% kind of a ceiling? How should we be thinking about that? 
Todd Schwartz: Yes. I think that's probably on the higher end of the range. I mean, I think we had a really, really strong payment recovery period due to the operational efficiencies in the ops and recoveries. But also tax refund came in really strong. It was a strong -- and accelerated in March significantly, sets us up well for the year. We're happy about that.
 I think we've also -- if you remember, there was some testing we did back in '22 and '21. That's finally burned off. We've exited Georgia, which was a lower-yielding state. So some of that has also allowed for some increase in yield. I think that's -- we're very happy to see. Because you got to remember, we're paying a much higher interest cost and there's some headwinds there, and we haven't raised price to this point. So this is really a good way to -- and it's really just getting back to where we were in the 2019-2021 era of yield. 
David Scharf: Got it. Got it. And then maybe lastly for Pam. When we eliminate the roughly $6 million of severance in card onetime expenses, just trying to get a sense for if that gives us a good sort of quarterly run rate of OpEx for the balance of the year. Or is it seasonally low because it's tax refund season and we should increase that number going forward? 
Pamela Johnson: From an OpEx, it's a run rate -- pardon? It may even go down a little bit going forward based on our... 
Operator: And we will take our next question from Mike Grondahl with Northland Securities. 
Owen Rickert: This is Owen on for Mike this morning. Congrats on the quarter. And what drove outperformance? What's going right? And what maybe is still a headache? 
Todd Schwartz: Yes. I think -- I mean it's pretty clear, we had really, really strong payments come in. We lowered our acquisition costs year-over-year by $10. That's a help. We -- while still increasing revenue by 5%, our charge-offs as a percentage of revenue went down. So all metrics -- OpEx as a percentage of revenue went down. All metrics of the business inform year-over-year. And that's our goal, right, every year is to get a little bit better and continuous improvement.
 And we feel it really sets us up well for this year. We're really focused on -- we're starting to see some credit trends we like. Things have really stabilized in the credit and think that, obviously, with some new geographies and with some -- nothing to report on, but some interesting conversations having on partnerships and growth strategies. There's definitely some -- hopefully, some pastures -- greener pastures ahead where we're going to be able to originate more and have confidence that the customers are going to be paying us back at the rates we think we can achieve.
 So I think when you look at -- in the first quarter, people came out and said we were -- oh, we're really conservative or we almost had a little bit of a negative connotation to our earnings call. It wasn't that. I think we were validated. The Fed is not lowering rates. Interest has -- sorry, inflation has been super sticky. They can't seem to get it below 3%. And we've always told people like this proportionately affects our customers.
 So as far as challenges go, interest cost and sticky inflation, that would be the ones that -- I mean we can't control those. So everything we can control, you see we're addressing and performing really well. The things we can't control, we're just watching very closely and hopeful that the inflation will come down, and eventually, some relief on interest rates. 
Owen Rickert: Got it. And then in terms of the competitive environment, are there any updates here on a quarter-over-quarter basis? Or is that pretty similar? 
Todd Schwartz: Yes. I mean, listen, I said this before, like we are experiencing tightening above us. That's allowing for some more segment 1 customers to come into the funnel. But that doesn't offset -- I remind everyone, that doesn't offset the tightening we've done on the back end, which is we're still originating in a pretty tight band of segments.
 I think we did some testing last year that was very successful, some swap-in, swap-out stuff. We really, really refined our cash flow underwriting model, which has been very successful. So we're waiting for the day where we can -- in 2019, I remind everyone, that was 40% of our new originations came from that segment, segment 4. So we're waiting for the day where we feel comfortable and have the confidence to be able to start originating on behalf of the bank partners, those segments again.
 But right now, we feel really comfortable. Our acquisition cost is where we want it. We're still able to grow, and we're finding operational leverage every quarter. So we feel good about where we're at. 
Owen Rickert: Great. And congrats on the quarter. 
Todd Schwartz: Thank you. 
Operator: [Operator Instructions] And we will take our next question from Dave Storms with Stonegate. 
David Joseph Storms: Just hoping we could start with maybe a little peek behind the curtain on the process for declaring that special dividend. Is that something you would revisit once a year, once a quarter, when cash levels get to a certain point? Just any clarity around that would be very helpful. 
Todd Schwartz: Yes. I mean there's no formula, but it's definitely something we would consider again. I mean what's become apparent to us is as our -- we hold receivables to manage interest costs. Obviously, those can be put into a borrowing base. But we have a lot of -- even beyond that, we have a lot of unrestricted cash.
 And what's become clear to us is we're not getting value for that cash properly, right? And that's something that we didn't have -- we knew we were going to increase that cash because of the recoveries in payment season coming. And we felt it was great to reward shareholders that have been patient and have been supportive of the stock and feel really good about the fact that we were able to execute our first special dividend. But it is something absolutely that will be -- it's not formulaic, like I mentioned, or dramatic, but it is something we will consider depending on cash position and cash needs. 
David Joseph Storms: Very helpful. And then just sticking with the kind of uses of cash. You've mentioned before, you are always looking for adjacent services business. You'd love to grant -- grow vertically, if possible. Assuming the value was correct, what kind of adjacent services businesses would you be targeting? What would you be looking for in an M&A deal? 
Todd Schwartz: Yes. I mean it's -- first, we look to like, hey, where there are large addressable markets where there are supply-demand imbalances and banks are not covering it. So the first things we've looked at are small business lending and consumer financing for goods. There's different models that kind of flow. And those are highly fragmented, large addressable markets where we think there's an absence of institutional capital, institutional players like OppFi. We think with our branding social impact and commitment to credit access, we can really have -- get market share and as that world continues to go online and digitize, get the benefit of it.
 So we're looking at different options there. We're going to be very careful to do the right thing. And we're going to -- it would be our first, obviously, acquisition as a company, and it's something that we want to make sure we get right. We're not going to -- we want to do something that's highly accretive to us and is going to benefit the business long term.
 But I think I've talked about it, but now that the business is stable, my attention has really started to focus on getting growth again, partnerships on that side of the house. We've got a lot of -- we expanded some geography last year, which was really great and set us up well for this year. But I really think that OppFi's brand has the platform ability to really service a suite of digital alternative financial service products where there's a large supply-demand imbalances and that banks are not going to really ever be there. And that's really the goal of OppFi and the strategic vision. 
David Joseph Storms: Very helpful. And then one more for me, if I could. When you think about bringing in new customers versus existing customers, what's the initiation and the underwriting process? How does that differ? And then, I guess, kind of with that, you mentioned your acquisition cost was down about $10 year-over-year. How much of that could be attributed to operational efficiencies? And how much of that could be attributed to maybe the relative cheapness of underwriting an already existing customer? 
Todd Schwartz: Yes. There's a couple of questions there. I just want to make sure I answer them. But I think like it's -- we've optimized the funnel, right? And we've really gotten more granular in the funnel, and the costs have also gotten -- direct mail has been one that we've really scaled back. We didn't drop mail in the first quarter, really want to make sure that the unit economics of that are sound before we start to test into that again.
 But I think as far as the funnel, we've also operationally -- on conversion, qualified rate, all the major metrics of the funnel have gotten better and the operational improvements around that. So we feel good that it sets us up well for this year. 
Operator: And we will take our next question from Ross Davisson with Banneton Capital. 
Ross Davisson: Todd, I just wanted to quickly just ask a follow-up on sort of the macro and how you think about your growth. Like you said, inflation remains sticky, which you guys had sort of expected. And as you think about sort of that segment 4, or even more just generally, do you feel like you have to see inflation come down? Or how do you -- or are things stabilizing enough that you think that your sort of core consumer will recover even if inflation doesn't further fall, at least in the short term? 
Todd Schwartz: Yes. No, it's not based on inflation. It's based on our data, right, our credit performance data that we look at daily, weekly. We have really, really strong data that -- and a lot of years of history where our confidence level -- when we see trends that are stable for some period of time, we would be comfortable starting to expand.
 But I think even without that expansion, there's a lot of opportunity. And I mentioned that the bank's tightening above us. There's also -- we're exploring some pretty significant partnerships. So there's a lot of room for growth just in the segments we are and at a price that will work with our unit economics. So I think -- and then obviously, the geography expansion that I mentioned before.
 So we feel like even without that, we can find growth and still really be positive on the growth side this year. So I'm -- but obviously, if we start to see that credit come in line with kind of more the 2019 time frame, I think that's obviously just -- would be an addition to anything we're planning for this year. 
Operator: It appears that we have no further questions at this time. I will now turn the program back over to CEO, Todd Schwartz, for closing remarks. 
Todd Schwartz: Thank you, everyone, for joining us today on the call. We look forward to speaking with everyone in August for the Q2 results. Have a great day. 
Operator: Thank you, ladies and gentlemen. This concludes today's presentation. You may now disconnect.